Stephan Engels: Good morning, ladies and gentlemen, and welcome to the Commerzbank’s Conference call for the Second Quarter 2014. I'm looking forward to presenting you and discussing them with you in our Q&A session afterwards. Ladies and gentlemen, in Q2 Commerzbank has achieved a Group operating result of €257 million after €324 million in Q1 2014. On half year one basis the group operating result of €581 million exceeds the result of H1 2013 by 8%. Core Bank revenues have increased by 6% compared to Q1. Growing business volumes in PC and MSB as well as growth in net new customers and accounts provide further evidence for strategic progress. The group net result of €100 million Q2 leads to €300 million in the first half year of 2014. This compares to minus €58 million in the first half of 2013 which was negatively affected by restructuring charges. Also compared to Q2 2013 the net result of €100 million in Q2 2014 has increased by €60 million. With our capital accretive sales of €5.1 billion Spanish, Portuguese and Japanese assets, the high-risk cluster in commercial real estate is now almost run down in full. All in all we have reduced our NCA assets by a further €10 billion in Q2. With the current €92 billion at the end of Q2, we have achieved our original 2016 target of €93 billion already 2.5 years ahead of schedule. Please note that we have achieved the original 2016 targets in all three business lines. At the end of Q2, public finance and commercial real estate stand exactly at the original 2016 target, while we have slightly overachieved our original EaD target for ship finance. The reported low LLP level of €257 million in Q2, after €238 million in Q1 benefits from a release of €112 million due to our commercial real estate portfolio sales. In Q2 we have again and for the sixth consecutive quarter, been able to keep our cost base almost flat at €1.7 billion. Like in previous quarters, our efficiency measures could largely compensate for rising costs for regulatory requirements, investments into private customer division and IT investments. Our Basel III Common Equity Tier ratio fully phased in has improved from 9% in the first quarter to 9.4% by the end of the second quarter. This increase reflects, amongst others, the incorporation of our H1 result of €300 million as well as effects of the €3.4 billion RWA reduction due to our commercial real estate portfolio sale in NCA. Slide 3 provides you with an overview of the key financial figures. Let me highlight two facts on the year-over-year comparison. The exposure at default in our non-core asset division has been reduced capital accretive by €44 billion or 32% year-over-year a remarkable achievement. In the last 12-months our Basel III capital ratio under fully phased-in assumptions has increased by 100 basis points solely through our own efforts on RWA reduction and capital management. On Slide 4, you can see the quarterly P&L development for the group. Our Q2 operating result of €328 million excluding the effect of the commercial real estate portfolio sales has slightly exceeded the operating result of Q1 and has been significantly above Q2 2013. Operating revenues excluding the effect of the commercial real estate portfolio have increased by 7% quarter-over-quarter and also by 5% compared to Q2 last year. All-in-all we have achieved a net result in Q2 of €100 million including the negative impact of the CRE portfolio sale of €71 million, minorities of €25 million and taxes of €132 million. As you can see on Slide 5, our total expenses show an almost stable development over the last six quarters at a level of €1.7. Personal expense have decreased by €26 million quarter-over-quarter and by €19 million year-over-year, the key driver for the reduced personnel cost is of course the reductions of fulltime equivalents in connection with our efficiency program. Since the beginning of 2013, we have reduced our staff by more than 2100. Operating expenses however show an expected increase of €55 million compared to Q1 2014. Besides ongoing strategic investments, especially in our private customer division, several regulatory requirements, such as AQR, Fatca or CRD IV implementation, weigh on our expenses. Lastly, Q2 also includes the transactions cost of €10 million stemming from the portfolio sales in NCA. As outlined on Slide 6, the loan loss provisions in Q2 amount to €157 million LLPs in NCA of €65 million have benefited from the overall asset rundown in commercial real estate, as well as from the €112 million releases due to the sales of the portfolios in Spain and Portugal. Ship finance LLPs of €137 million have come in as expected and the Core Bank's LLP prove the good portfolio quality. Now lets turn to Slide 7, giving you an giving you an overview of the performance in the Core Bank. Despite the persisting low interest rate environment, along with low volatilities, we have managed to keep our operating result of €440 million in Q2 2014 almost flat compared to Q2 2013. Compared to Q1 2014, seasonally higher LLPs have led to an expected lower operating result. On the other hand, revenues in the Core Bank have increased by 3% compared to Q1. Increases in Mittelstandsbank, CEE and treasury could more than compensate for slight decreases in PC and corporates & markets. PC revenues have been only slightly lower compared to the seasonally stronger Q1. Compared to Q1, revenues in corporates & markets have slightly decreased, solely because of disposal gains in Q1 and a negative swing of OCS and net CVA/DVA. With regards to others and consolidation, the Q2 result of minus €212 million has improved by €55 million compared to Q1 and has been within our previous guidance. The positive development quarter-over-quarter reflects amongst others and improved treasury result. At the same time, burdens from regulatory requirements and from additions and releases of legal and other provisions keep on weighing on the result of others and consolidation. Let's look more closely at the quarterly performance of the individual segments, starting with private customers on Slide 8. I would like to highlight the strategic progress of the PC division before we look at the recent P&L development. Having 43,000 net new customers in Q1, we have gained another 95,000 net new customers in Q2 which marks a two year record high. This is not only linked to our successful marketing campaign, but also to our product offerings and the recommendations of our satisfied customers. Also business volumes are growing in loans as well as in securities, giving us comfort on the good progress of the strategic growth initiatives in the division. With regards to loans, since Q2 2013 our new loan production exceeds the generally increased repayments due to the low interest rate environment by almost €400 per quarter. Based on our increasing new mortgage loan production which amounted to €2.7 billion in Q2, we expect a further growth of the loan book also in the upcoming quarters. This positive development is also reflected in the segmental P&L. Net interest income has increased by 7% quarter-over-quarter and by 8% year-over-year. Also the strategic development of the securities business shows a good trend. We have increased our assets in premium and managed accounts to 31% as stated on slide 9. The associated recurring revenue streams are growing, in line with our strategy. Despite customer reluctance in the transaction-based securities business due to the performance of the equity markets in the last months and political uncertainties, this strategy will pay off over time. All-in-all, these strategic achievements, together with a strong operating result of €115 million in Q2 proves that we are on the right track. On Slides 10 and 11, you can see the quarterly development of Mittelstandsbank. In Q#, MSB has reached an operating result of €267 million, the decline compared to Q1 solely stems from the seasonally low LLPs in Q1, which has normalized in Q2. Compared to Q2 2013 MSB has improved its operating result by more than €50 million. We have been again able to increase loan volumes and revenues quarter-over-quarter as well as year-on-year. The revenue increase of 3% quarter-over-quarter and 6% year-over-year prove an overall sound revenue development. Compared Q1, revenues have benefited from an increased net interest income from loans and a positive development of counterparty risks in the derivatives business. Net commission income is characterized by lower demand for capital market products. In the current low volatility market environment, many customers decide not to hedge their interest and FX exposures, which weigh on our fee income in MSB. Loan volumes have shown a very positive development in Q2; the increase of 5% quarter-over-quarter and 9% year-over-year is remarkable. Loan volumes with corporates in Germany have increased by 4.8% compared to the end of Q1 clearly exceeding the market which has grown by 0.9% according to the latest Bundesbank statistics. Looking at our international business, I would like to point out that, within financial institutions, revenue from international business grow as well. That proves our leading position in cash and trade services and especially in export letters of credit. As you can see on Slide 12, our segment Central & Eastern Europe has delivered in Q2 again a very good result €84 million exceeding all quarters of 2013. The continued growth in mBank led to record revenues in our segment Central & Eastern Europe. Revenues have increased 4% quarter-over-quarter and remarkable 20% year-over-year. All material revenue line items have increased. Main driver is the net interest income, with business volumes showing a continued upward trend. We see loan volumes growing in both retail banking and in the corporates and financial markets division of the mBank. Deposit volumes have increased, especially in retail banking, at rising margins year-over-year. Also the fee income has increased through retail products, such as payment cards. mBank has further improved its strong position in the Polish market and has surpassed the mark of 4.5 million by the end of Q2. The slight increase in costs relates predominantly to investments for the growth of mBank to acquire more customers and assets and to further strengthen the market presence. Please turn to Slide 13. Corpirates and markets benefits from the diversified business model across the asset classes. In Q2 the strong performance in equities and the continued strong revenues in corporate finance could compensate for the persistent weakness in fixed income and currencies, leading to an operating result of €194 million when adjusted for OCS and net CVA/DVA. On that basis, corporates & markets has seen only a slight decline of 3% in revenues compared to Q1. Let’s have a look at the divisional split of corporates & markets on slide 14. in corproates finance, we have had a good performance in bonds and loans, driven by increased client activity. Equity capital markets even had their best quarter since Q2 2011. Equity markets and commodities have benefited from regular corporate actions in the course of Q2. Moreover, we profit from a strong demand for the off-the-shelf and tailor-made equity derivative products, while the market for commodities remains challenging. Revenues in fixed income and currencies remain under pressure. The historical lows in volatility, both in interest rate and FX, hamper the FIC business, which is the mirror image of the before-mentioned reluctance of MSB clients with regard to interest in FX hedges. Credit portfolio management has delivered lower revenues as Q1 was supported by a single asset appreciation of €42 million. To complete our picture on the Core Bank please turn to Slide 15, where you can see the development of the risk profile of the Core Bank. LLPs of €192 million in Q2 reflect same pattern as in Q2 2013 and the overall LLP level is in line with our expectation. The risk density of 27 basis points again proves our ongoing good portfolio quality in the Core Bank and our non-performing loan ratio of 1.6% marks a good level. Now let’s have a closer look at our non-core asset division as outlined on slide 16. In Q2 the operating result of NCA stems at minus €183 million almost at almost at the level of Q1, though NCA had to digest €101 million P&L burden from the commercial real estate portfolio sales. In Q2 we have sold commercial real estate financing portfolios in Spain and Japan as well the non-performing loan portfolio in Portugal, totaling €5.1 billion. The portfolio of performing commercial real estate loans in Spain amounted to €3 billion while the non-performing loans amounted to €1.4 billion of which €0.3 billion have been loans in Portugal. In Japan, we have sold €0.7 billion of primarily subordinated loans. The transaction includes the entire operation of commercial real estate activities in Spain and the whole subsidiary in Japan as well as the transfer of the employees. These sales together have been capital accretive by €204 million due to the corresponding RWA reduction of €3.4 billion. As already mentioned, we could release LLPs of €112 million in the book of the sold 1.4 billion non-performing loans proving our conservative valuation standard. For the performing loans being subject to the transaction, the overall low discount of roughly 5% translates into a negative revenue impact of €203 million. The discount almost completely results from present value changes due to margin requirements and to a certain extent to higher funding costs of the investors. In other words, though we have classified these assets as higher risk, they have all been well performing and valued close to market prices. The small discount is rather a proof of the quality of our loan book as we have seen usually much larger discounts in the market. The negative P&L effect of €101 million for the commercial real estate portfolio sales in management accounts of NCA is larger than the €71 million on group level. The difference stems from close out charges for internal interest rate hedges. Going forward and as already pointed out several times, the shrinking portfolio weighs on our revenues. The impact on revenues due to the commercial real estate portfolio sale in Q2 amounts to roughly €20 million each quarter. Slide 17 provides you with a more detailed view on the risk profile of NCA. The overall portfolio reduction in Q2 amounts to €10 billion, half of it stems from the portfolio sales and the other half reflects our ongoing management to rundown the portfolio in a value preserving manner. With €92 billion exposure at default we have already achieved our original target for 2016 of €93 billion as mentioned 2.5 years ahead of time, because of the portfolio sales we have had net LLP releases of overall €72 million in Q2 in commercial real estate, LLPs and Ship Finance of €137 million in Q2 are inline with our expectations. Due to the portfolio sales we have also significantly reduced our default portfolios; it now amounts to €7.2 billion which translates into a reduced non-performing loan ratio of 7.8%. On Slide 18, I would like to acquaint you with our further rundown strategy for NCA. In public finance we pursue a held-to-maturity strategy. First of all, and as already outlined in Q2, €34.9 billion contain mainly liquid assets with low discounts in market value, e.g., German Bundeslander or Swiss and Belgian sovereigns. To a large extent these assets also qualify for liquidity portfolios and the realized asset transfer to our treasury department in Q1 stems from this portfolio. €20 billion contain less liquid assets with higher discounts and market value, e.g., Italian or Spanish assets but also U.S. sub-sovereigns. These assets are mostly low yield and interest rate hedged exposures. Since the ECB confirmed to do whatever it takes, we have decided to treat these assets in a money good logic. We will not sell them and pursue a held-to-maturity strategy taking advantage of pull-to-par effect. With regards to the mainly liquid assets, they provide us with the flexibility for further future intra-Group transfers to the liquidity portfolio and treasury, as we have done in Q1 this year. Natural maturities of the portfolio will lead to €47 billion in 2016 will either be the result of opportunistic sales or the result of further transfers to the liquidity portfolio. Our NCA management focus clearly remains on the value-preserving active rundown of our commercial real estate and ship finance exposures. Since Q3 2012 we have already reduced the portfolio from €79 billion down to €37 billion. Now we increase our rundown target until 2016. We will rundown further €17 billion to a combined exposure at default for commercial real estate and ship finance is €20 billion. The target for commercial real estate is €11 billion for ship finance €9 billion both including the respective non-performing loans. On Slide 19, you can see the development over time of the important portfolio classes in commercial real estate and ship finance. Since Q3 2012 the higher risk cluster of commercial real estate has been rundown by a more than €11 billion to €0.6 billion by the end of Q2. And also the medium risk cluster of commercial real estate and the non-performing loans in commercial real estate have almost been halved since Q3 2012. And also ship finance portfolio clusters are continuously shrinking. Across higher and medium risk clusters and the non-performing loan portfolio in ship finance we have realized a reduction of overall more than 30%. As shown on Slide 20, our Common Equity Tier 1 ratio fully phased in has increased from 9% to 9.4%. Risk-weighted assets have decreased slightly by €1.2 billion to €117 billion. Our business growth in the Core Bank, of course, leads to higher credit RWAs. This has been offset in Q2 by the reduction of 3.4 RWAs from the commercial real estate portfolio sales. This illustrates very well our strategy to free up resources in NCA and to reinvest them into the Core Bank. Our Common Equity Tier 1 capital fully phased in has increased from €19.7 billion at the end of Q1 to €20.4 billion by the end of Q2 and thus our core Tier 1 ratio fully phased in has increased to 9.4%. Under phased-in rules we have recognized the analog effects leading to a phased-in Basel III ratio of 11.7%. As you can see on Slide 21, our leverage rations have again been well above the regulatory thresholds. The leverage ratio exposure increased slightly stronger than the total assets, , leveling out the increased capital position. Let me conclude my presentation by giving you a brief outlook on Slide 22. First we keep on growing business volumes in the Core Banks. Our special focus lies on loan volumes and private customers in Mittelstandsbank where we have again seen encouraging growth in Q2. Second, and unchanged despite strategic investments and rising regulatory costs, we are holding on to our cost guidance for this year of max €7 billion. Third, we update our forecasted LLP level to stay well below last year’s level of €1.75 billion. LLPs for ship finance are expected to be slightly lower than 2013. Fourth, we focus value-preserving asset rundown in NCA on commercial real estate and ship finance. Our new 2015 target for commercial real estate and ship finance is €20 billion, which is an acceleration of €7 billion compared to our previous target. Fifth we confirm our 2016 target our Basel III ratio and the fully phased-in assumptions to stand beyond 10%. However, we do not expect a linear development. Ladies and gentlemen, thank you very much for your attention. I am now looking forward to take your questions.
Operator: (Operator Instructions) The first question comes from Johannes Thormann from HSBC. May we have your question please.
Johannes Thormann – HSBC Global Research: Good morning everybody. I am Thormann, HSBC. Three questions, if I may. First of all, on your NCA reduction target for shipping and CRE, could you provide us some more details? This is also due to maturities or do you intend sales? Just to get a better feeling for the €20 million, how you want to come down from €37 million to €20 million? Secondly, do I understand you correctly if you say LLP will be low 2013, so several 100 million below this level? Or what would be your guidance, as you don't give a full number, but just this qualitative guidance? And last but not least, what would you consider a normal run rate for NII for the next quarter? Just the average of the first two quarters, the higher level in Q2, or the lower level in Q1? Thank you.
Stephan Engels: Good morning also to you. NCA commercial real estate and shipping, as before it will be a mixture of natural maturities lets say, convincing discussions with customers to pay off loans earlier and, only in comparison to the recent past, a much smaller part of sales. On the performing book sales, in economical terms less rewarding since in many cases the funding costs. For example, of our buyers are higher than our own funding costs, which led to a discount, for which I have no real economical benefit. So in total, it's a mixture of natural maturities and lets say, convincing customers to earlier pay off, I wouldn’t expect sales in anywhere close to the sizes that we have seen in Spain and U.K. for example. The LLP guidance is intensively a qualitative guidance but well obviously mean well and you may have not that we have also given a little bit more positive view on the ship LLPs. The normal run rate for NII, I think you have to split it probably in two bits on group level you will have the impact of the NCA portfolio rundown. And secondly, that is the obvious accounting discussion which influences corporates and markets. If you take the NII and the dealing income together, I think averaging out the first and the second quarter especially on the Core Bank should gives you a reasonable indication.
Johannes Thormann – HSBC Global Research: Okay thank you.
Stephan Engels: Pleasure.
Operator: The next question comes from Johan Ekblom from Bank of America.
Johan Ekblom – Bank of America Merrill Lynch: Thank you. Three questions from me as well, please. First of all, maybe if you can talk a little bit more about the revenue outlook for the Core Bank. You flagged decent volume progression both in the private customer business as well as in Mittelstandsbank. Can you talk a little bit about what we should expect for the second half and whether volume growth can offset the impact of the lower interest rate environment, etc? And then second point, just a clarification on the NCA rundown. If we assume small sales not to be a big driver, are we looking at a pretty straight line rundown from now until the target in 2016? Or are there any lumpy maturities that you could point us to? And then the third question is just on litigation. I mean you said that the results continue to be burdened by litigation provisions. Can you give us any idea of the size of the litigation provisions in the first half or the second quarter? Where your total litigation provision stands? And anything you can say on ongoing negotiations to settle some of these cases would be very helpful. 
Stephan Engels: Yes, thank you for the questions. The revenue development of the Core Bank for the second half as we’ve said our special focus lies on growing the loan volumes both in PC and Mittelstandsbank, which does not mean that we are not willing to grow all the other businesses as well. We all know that there's a certain seasonality, especially in Q3 if you are look at the holiday season and other stuff, but in general I would say there should be very little or no impact on a quarter-to-quarter comparison with respect to the interest rate environment nevertheless you will see the reason that the normal seasonality in Q3 and then we all think – we all have to wait a little bit how the lets say, general macro and political environment develops going forward. The NCA rundown I think taking a straight line is a very reasonable assumption to model the rundown profile. With respect to U.S. sanctions litigations from my point of you I think all I have learn so far is embedded from my perspective is not very helpful to discuss these issues in public. So I hope you understand that we will not comment on the status timing and potential outcome of a possible settlement. Nevertheless I confirmed what you have said, but our others in consolidation segment includes amongst other also provisions for legal.
Johan Ekblom – Bank of America Merrill Lynch: Just maybe a follow up, you disclosed in your annual report, I think it was €934 million of legal provisions. Can you give us an indication of what that total number is for all outstanding issues?
Stephan Engels: No, since I don’t believe that the number is any reasonable or proper indication for whatever you want to derive from the numbers because it is a bigger set of cases. I'm not willing to give the number.
Johan Ekblom – Bank of America Merrill Lynch: Understood. Thank you.
Operator: We have another question coming from Andrew Coombs from Citi.
Andrew P. Coombs – Citigroup Global Markets Ltd.: Good morning, if I could ask three questions, please. The first question is just on the capital improvement in your Core Tier 1 ratio. I think over half of that 40 basis points improvement is due to a decline in other regulatory adjustments, as you list on Slide 39. In the footnote you say that relates to shortfall prudent valuation defined benefit pension funds, but perhaps you could just elaborate on what the moving parts are there between Q1 and Q2. So that's the first question. Second question, which would be coming back the loan loss provision guidance. I know it's obviously qualitative guidance, but clearly your provisions are flattered by that €112 million reversal in the non-core division this quarter. So I'd ask do you expect further reversals in the second half of this year. Or should we think about €370 million, i.e., the Q2 number ex the reversal, as more of an underlying run rate? And then the final question is just on others and consolidations. A small improvement there Q-on-Q in profitability, but it remains a significant drag overall. Perhaps you could just give us an idea again of the impact of treasury within that. How much of the €212 million loss is due to treasury and how much is due to other factors? Thank you.
Stephan Engels: Yes, with respect to the Core Tier 1 as you rightfully said is the mixture of several bits and pieces. One is obviously the inclusion of our H1 results, which is roughly 15 basis points then there is also a small reduction in the RWA and then there is a number of factors from potential valuation and deductions which you have mentioned the main positive contributor here is the reduced expected loss shortfall. As the year progresses, just to be complete, there is in the deductions an inclusion for the so-called prudential valuation reserve that we have had also in Q1, just for the completeness. Other than consolidation again my previous guidance from Q1 was that you would expect it somewhere between minus €150 million to €200 million. This year will probably rather see the upper end due to, for example, regulatory costs and other stuff, treasury in that context is a positive mitigator, so to speak and the treasury result both in Q1 and in Q2 has obviously been positive. In Q2 substantially better than in Q1 that is why we have seen the decrease from €270 to roughly €210.
Andrew P. Coombs – Citigroup Global Markets Ltd.: And on the loan losses, please?
Stephan Engels: Sorry the LLP guidance, I think you wouldn’t expect further releases definitely not at the level that we have seen throughout the rest of the year. So the little equation that you had for NCA is from today’s point of you appropriate down.
Andrew P. Coombs – Citigroup Global Markets Ltd.: Very clear. Thank you.
Stephan Engels: Thank you.
Operator: The next question is coming from Britta Schmidt from Autonomous Research
Britta Schmidt – Autonomous Research LLP: Yes, coming back to the corporate center, I just have a clarification question. When you're saying that the impact, the NCA deal impact, was €101 million in NCA and €71 million for the Group, can I assume that the €30 million was booked in the corporate center and that, therefore, the underlying corporate center would have been €30 million worse than stated? And the second question I have is on the pre-tax guidance on NCA. Does the €2.9 billion still stand? Or how has that now changed with the faster rundown? And maybe you can give us an idea of cost savings due to the sales and also the faster rundown in the future?
Stephan Engels: Quick answer on the €26 million, the €26 million are internal close out charges between the segment NCA and treasury. A treasury on the other hand, manages the total group position so to speak to the outside world. Let's put it this way, since treasury has read the newspapers already through Q1 and I saw the deal coming and I guess they have invested this money well in managing the groups position accordingly. The NCA guidance of $2.9 billion obviously has a certain influence from running down the assets much faster again. So I'd say the €2.9 maybe closer to €3 billion then to the €2.9 billion that it has been before. But again, we obviously taking all necessary measures trying to keep up on the cost and funding side to make sure that we stay broadly inline with the previous guidance.
Britta Schmidt – Autonomous Research LLP: As a follow up, do you have any more specific numbers with regards to the deals, how many revenues and costs are lost, so that we can get an idea of what the underlying result will be in the future?
Stephan Engels: The revenue loss, as I have said in the disclosure will be roughly $20 million on the quarterly basis. A good part of the cost associated to the portfolio that we have sold here has been going with the portfolio since we have sold even the subsidiary on the full set up like in Spain. And nevertheless that is some recurring cost on so to speak, Frankfurt level and which we will manage down over time.
Britta Schmidt – Autonomous Research LLP: Thank you.
Operator: The further question is coming from Benjamin Goy from Deutsche Bank AG. Your line is open.
Benjamin Goy – Deutsche Bank AG.: Yes, good morning. Two questions, please, on RWA. The first one will be your operational risk. RWAs were down by €1.5 billion in the second quarter. Is that something that could go up again, in particular looking at a potential settlement with U.S. authorities? The second RWA question would be then the jump in Mittelstandsbank, while others and consolidation were down significantly. Maybe you could comment on that. And finally, the net interest income, as you said, and particularly in private customers and Mittelstandsbank, benefited from loan growth. Was there also some other effects from deposit re-pricing? Thank you.
Stephan Engels:
. : 
Benjamin Goy – Deutsche Bank AG.: Yes, thank you.
Operator: The next question is coming from Maxence Le Gouvello from Credit Suisse.
Maxence P. Le Gouvello du Timat – Credit Suisse Group AG: Yes, good morning, gentlemen. Can we come back to the NCA? When you reduced your guidance last time to €5 billion you provide us also an NPV of the potential losses of the NCA by €2.9 billion. Can we have an update on that one? Second element it's in – as you said on closing your comments, you said solvency is not going to be linear but most likely bumpy. Can you highlight which kind of hurdle we are going to have in front of us? And the last element is on Slide 11, regarding the Mittelstandsbank and the German business. You have clearly some good volumes and apparently stable margins. Is the change on the margin trends significant compared to Q1? Because in Q1, you clearly highlighted that you had a lot of competition on that side. Many thanks.
Stephan Engels: Yes. Thank you for the questions. On the guidance for NCA, as I've said in the speech, we expect a negative revenue impact of €20 million on the NCA from the sales of the portfolios in Spain, Portugal and Japan on a quarterly basis. Since most of the cost went out with subsidiaries that we have sold or the setups that we have sold or the setups that we have sold there will only be a slight negative impact. That's why we've, from today's perspective, assumed that the €2.9 billion previous guidance might be closer to €3 billion than to the €2.9 billion. Nevertheless, we are working on cost and other issues, trying to contain of the effect as much as possible. With respect to the core Tier 1, I didn't necessarily say I expect a bumpy performance. Nevertheless, given that the core Tier 1 also includes valuation effects, it might not progress on a necessarily linear way. On MSB, yes, you are right. There is a lot of competition in MSB, but that has always been the case and our margin has been kept stable on a Q1/Q2 comparison. And I’m currently wouldn't see any indication why that shouldn't go on exactly that way for the upcoming quarters.
Maxence P. Le Gouvello du Timat – Credit Suisse Group AG: Okay. Can I add one question, please?
Stephan Engels: Sure. 
Maxence P. Le Gouvello du Timat – Credit Suisse Group AG: Regarding the NCA and the public finance, I remember a dinner that we had in London with Mr. Blessing and yourself, where you clearly highlighted that you were unable to move on the public finance side due to the liabilities. Do you still believe that that's why you are forced to go for natural attrition, due to the liability side and you have no ability to move? Or potentially by 2015, when all those funding should be ending, you are able to get some better news on that side?
Stephan Engels: There is, in simple terms, two things which you need to look at that public finance. One is the underlying paper and its maturity, as such. And the other one, as I've mentioned, they have all been hedged with interest rate ventures or they have all been swapped, which means, in many cases, the paper as such is well above 300% mark, so to speak. But, given that the interest rate environment has changed so dramatically since inception of the original deals, the related swap is very costly to break. And that is why a pull-to-par strategy is economically the proper way to do it, at least as long as the assumption is right that we are – or that Mr. Draghi will take whatever it needs to keep the euro up.
Maxence P. Le Gouvello du Timat – Credit Suisse Group AG: Okay. Many thanks.
Operator: More questions are stated from Jeremy Sigee from Barclays.
Jeremy Sigee – Barclays Capital: Good morning. Could I ask you three questions about the Mittelstandsbank specifically, please? Firstly, you talked about quite strong loan demand across the different segments and I wondered if you could talk a bit more about the drivers of that. What is going on amongst the corporate base in Germany? The extent to which its capital investment or inventory financing or what are the drivers of that demand? Secondly, I wanted to ask how you see the benefits. You talked about loan volume growth in both Mittelstandsbank and in private customers and I wondered how you think about the benefit of that. Is it that you're getting better pricing on the new loans? Or is it just that the absolute revenues go up and you get operating leverage on your flat cost base? And third, final question on Mittelstandsbank. The provisions were unusually low in Q1 and jumped back in Q2 and I just wondered how we should think about the run rates over the remainder of the year, in Mittelstandsbank specifically.
Stephan Engels:
 : With respect to the positive effects of stable of loan growth, first of all, as I mentioned, we assume that we have done it on stable margins and will do so looking forward. What is the positive effect? That twofold, one is that we still have a very strong loan-to- deposit ratio in general, which is somewhere between 70% and 80% in a current zero interest rate environment pushing the loan-to-deposit ratio stronger towards the 100% mark, which we've obviously not achieved, but pushing it towards that direction obviously improves general performance as well as the operating leverage that you have mentioned before. MSB LLPs, I would think, as we have said before, that the second half of the year should be very similar to the first half of the year.
, : With respect to the positive effects of stable of loan growth, first of all, as I mentioned, we assume that we have done it on stable margins and will do so looking forward. What is the positive effect? That twofold, one is that we still have a very strong loan-to- deposit ratio in general, which is somewhere between 70% and 80% in a current zero interest rate environment pushing the loan-to-deposit ratio stronger towards the 100% mark, which we've obviously not achieved, but pushing it towards that direction obviously improves general performance as well as the operating leverage that you have mentioned before. MSB LLPs, I would think, as we have said before, that the second half of the year should be very similar to the first half of the year.
Jeremy Sigee – Barclays Capital: Okay. Thank you very much.
Operator: The next question is coming from Dirk Becker from Kepler Cheuvreux.
Dirk Becker – Kepler Cheuvreux: Yes, good morning. A couple of questions, please. First on the sale of the commercial real estate portfolio in Spain. Did you also sell the funding of that or is that still sitting on your balance sheet? And then I was looking at your divisional breakdown in the presentation and I realized that capital allocation to the non-core assets has come up €300 million in the second quarter despite the disposal and I was just wondering why that is. The second question is on the banking tax. How much banking tax have you in your half-year results? And how do you expect this to change when the new banking tax law is passed? And how will this affect Commerzbank? And then thirdly, I read in your quarterly report you have a €5.4 billion exposure to Russia, which is slightly bigger than I would have assumed. And I was just wondering where this is coming from. Is this German Mittelstand exporters to Russia or is this Russian local entities or what is this? And would this exposure have any danger of suffering losses from the sanctions that we are seeing?
Stephan Engels: Let me start out with the Spanish funding discussion. We have either sold the Spanish funding or have paid it off early, also incurring breakage costs on Group level. That relates to the discussion that we have earlier had about the internal charges. We had also external cost of part of the funding. The banking tax discussion. We roughly paid a, let's say low level two-digit amount in 2013, and with the new banking tax that will definitely, from today's perspective go up. Our assumption is that it will be probably close to a three-digit number but still be low.
 :
Dirk Becker – Kepler Cheuvreux: On page 37 of the presentation in the appendix you provide an overview of the non-core assets and there's a line average capital employed going from €7.88 billion to €8.12 billion.
Stephan Engels: Okay, I’m sorry. That is the positive effect, obviously from the releases of RWAs from our sale and it is also reflecting increased market risk, especially in the public finance market.
Dirk Becker – Kepler Cheuvreux: Okay. Thank you very much.
Operator: Maybe now have the question from Matteo Ramenghi from UBS. Please.
Matteo Ramenghi – UBS: Yes. Good morning, and thank your for the presentation. I have three quick questions. The first one is on total assets. I noticed they increased by €33 billion year to date, which has been driven by trading assets and interbank lending. I remember in Q1 you were talking about this increase and you explained it was driven by seasonal activity, but it has further increased in Q2. So I was wondering if you could share more color about this and also if you expect now the total assets to decline in Q3 if the seasonal effect is over. Second, in spite of the peripheral bonds rally, the financial investments fair value, which is, I think, in the quarterly report, remains some €2.9 billion lower than the current amount in the balance sheet. I think that's related to interest rate hedges in place and the decline in EURIBOR, but if you would please confirm that and also confirm that the AQR will not require you to reclassify everything under market value. And thirdly, there was some €4 billion increase in risk-weighted assets in the Mittelstandsbank, which is mostly offset by a fall in risk-weighted assets in others and consolidation. And I was wondering, is that due to regulatory changes or any other reason that you can discuss? Thank you.
Stephan Engels: On the balance sheet development that is the – if you compare it also with previous years, Q2 is following the typical seasonal pattern there. It's mainly an increase in trading assets, which we will not see again at that size, probably, in the remainder of the year. Again, that will follow, most likely, the pattern that you have seen in previous. With the fair value, as you rightfully said, these are mainly driven by long-dated assets that have been, as I've said before, interest rate hedged and, thereby, drive these valuations.
consolidation :
Matteo Ramenghi – UBS: Thank you very much.
Operator: We have the last question coming from Mathew Clark from Nomura.
Matthew J Clark – Nomura International Plc: Good morning. A few questions, I'm afraid. Firstly, on the private clients division, the fee decline. I think I remember being told that your fee revenue in private client should be less seasonal, due to a change away from the product-push model. Could you comment on why we're still seeing such a big seasonal decline Q2 on Q1 there? Second question is on Central & Eastern European net interest income. Very strong development over the past couple of quarters, could you just discuss. What's driving that? Third question, if you could just confirm that all the prospective EBA methodology changes, which you talked about last quarter, are now baked into your 9.4% fully loaded Common Equity Tier 1 ratio; that there's nothing more from methodology changes to come in the next few quarters there. And then final question, on the tax rate, was very high this quarter. Could you just update your guidance for the full-year 2014 and for next year? Thank you.
Stephan Engels: Yes. If I may in reverse order, the tax expense of €132 million this quarter is also due to recognized earning taxes for prior periods. Regarding the tax outlook for the full year, it's currently too early to early to give detailed guidance, but I would expect it to probably exceed our normalized Group tax rate of around 25% to 30%. With respect to the 9.4% core Tier 1, we have baked in all methodological assumptions, releases and other stuff that we currently know of.
 : As I've stated, we are very satisfied with the development of our new products and our new models, which are growing on a very positive way. That produces a much more stable stream of recurring revenue. And if you look at the total result of the segment, we have after two quarters already achieved the level that we have achieved in the full-year 2013. Nevertheless, the transactional fees are somewhat low in Q2, obviously driven by a certain reluctance of the German private clients in the current context of the stock markets developments and the several political issues from the Middle East onto Russia, Ukraine and the likes. Nevertheless, looking forward, I guess the first two quarters in PC put clear proof to our strategy really being on track.
Matthew J Clark – Nomura International Plc: Okay. Thank you. 
Stephan Engels: Nice job.
Operator: Thank you. That was the last question. There are no further questions.